Anders Edholm: Good morning and welcome to this Presentation of SCA's Full Year Results for 2024. With me here today, I have President and CEO, Ulf Larsson; and CFO, Andreas Ewertz, to go through the results and take your questions. Over to you, Ulf.
Ulf Larsson: Thank you for that, Anders and also, from my side, a good morning and welcome to the presentation of SCA's result for the full year and for the fourth quarter 2024. During 2024, SCA showed that we can deliver good profitability even in a challenging environment, and despite substantially higher costs related to wood raw material, SCA reached SEK7.1 billion on EBITDA level and, by that, an EBITDA margin of 35% for the year. During 2024, we have continued to gradually increase production in the sites where strategic investments have been made. This has resulted in higher delivery volumes in comparison to last year due to the new paper machine in Obbola and the new CTMP line at Ortviken. These investments will contribute to increased productivity and cash flow generating during upcoming years. Another factor contributing to the result and partly offsetting the higher costs of wood raw material was steady increase in harvesting from SCA on forest where we reached record high harvesting volumes in 2024, a bit over 5.2 million cubic meters. We will continue to ramp up harvesting of our own forest according to plan during coming years. The book value of SCA forest assets was in line with last year and amounted to SEK107.3 billion at the end of 2024. And as you already know, SCA bases the valuation of the forest on complete transactions in the region where SCA owns land. Turning over to some financial KPIs related to the full year 2024, as already said, our EBITDA reached SEK7.1 billion for '24 which corresponds to 35% EBITDA margin. Our industrial return on capital employed came out on 7% for the full year '24, in line with last year. The leverage was at 1.5 and we have now finalized our big strategic investments in Obbola, Ortviken, and Gothenburg which will all contribute positively coming years. The proposed dividend for the AGM to decide on is SEK3 per share. This is in line with our aspiration to provide a long-term stable and increasing dividend to our shareholders. Last year we gave SEK2.75 per share. And finally, earnings per share was SEK5.8. This slide will give you an overview of KPIs for the fourth quarter '24. Our EBITDA reached SEK1.65 billion during the fourth quarter, which gave us an EBITDA margin of 32% for the period, despite high costs of planned maintenance stops in the quarter of SEK338 million. Our equity continues to increase and despite the fulfillment of several large strategic projects, net debt to equity remains on a solid level of 11%. So before looking into each segment, I want to mention a few words on our capital allocation strategy. We have continuously developed our value chain by investing in superior mills and in additional production capacity of products with long-term growing demand such as pulp, containerboard, solid wood products, and renewable energy. But we have also closed our production of publication paper, a product with long-term decline in demand. The investments made are generating additional cash flow now and in the years ahead. The generated cash flow has allowed us to increase our forest holdings by investing in forest land in the Baltics. We have also continuously invested in forest management on our current and new holdings and this increases net growth in the forest, which, in the long run, both increases raw material supply to SCA industries and generates a higher cash flow. The investments in the forest and the value chain are creating profitable growth, which enable us to pay a long-term stable and increasing dividend to our shareholders. I will now make some comments for each segment starting with Forest. High harvesting levels of our own forest have contributed to a stable supply of wood raw materials to our industries during the period. We have seen a continuous long-term trend of increasing prices for both pulpwood and sawlogs as can be seen also in the graph in the bottom left. When one compare Q4 '24 with the same period last year, sales were up 16% mainly due to higher prices for pulpwood and sawlogs as well as higher delivery volumes to SCA industries. When excluding the effect of lower evaluation of biological assets, so SEK356 million, Q4 '24 in comparison with Q4 '23, EBITDA was up 18% and that was mainly due to higher prices for pulpwood and sawlogs and higher delivery volumes to SCA industries. Turning over to business area Wood. In general, we still have a slow underlying market for solid wood products. Despite the generally low demand, we continue to see some signs of improvement in the repair and remodeling sector. Stock levels are at normal levels among producers and mainly on the low side at customers. I estimated that price for solid wood products in the fourth quarter in comparison with Q3 would be close to unchanged, which also happened. Our deliveries last quarter were on a normal level that consequently also gave a close-to-unchanged stock level at -- of sawn goods. As expected, the cost for sawlogs has increased from the third to the fourth quarter and we also expect them to continue to increase going into the first quarter. Sales were up 12% and EBITDA was up 260% in the fourth quarter '24 in comparison with the same period last year. The reason behind this were mainly higher prices. The EBITDA margin consequently increased from 5% to 17%. Today's stock level of solid wood products in Sweden and Finland is in relation to the average for the last five years described at top left on this slide. As mentioned earlier, we note that inventory is on a normal level. As can be seen in the diagram to the bottom left, the Swedish and Finnish sawmills production has also been on normal levels accumulated for 2024. In the diagram to the top right, we can see that prices increased during the first half of '24 but has leveled out in the second half. Now coming into the first quarter 2025, I estimate that prices will increase with low single digits due to an improved balance between supply and demand. In the construction sector, we can conclude that start of new buildings continue to be low. Looking forward, we believe that consumption in the repair and remodeling sector will be early to respond on a positive -- in a positive way to lower interest rates. Over to Pulp. When one compare Q4 '24 with Q4 '23, sales were up 27% mainly due to higher prices as well as higher delivery volumes. EBITDA was up more than 300% mainly due to higher prices and the positive currency effects. The yearly maintenance stop at Ostrand had a negative impact of SEK215 million in the fourth quarter. NBSK prices peaked in Europe in July at $1,620 per tonne after increasing for 10 consecutive months. We then saw decreasing prices and weaker demand during the remaining part of the year and prices reached the bottom in December at $1,480 to $1,490 per tonne. In the US, NBSK prices have had a similar development as in Europe and after a slow summer in China with weak demand and decreasing prices, we reached the bottom at the end of August and we now see approximately 10% higher prices and an improving demand. Looking at CTMP, prices decreased in Europe during the fourth quarter while being rather flat in Asia at the low level. In January, prices have been more or less unchanged. Inventories on softwood and hardwood pulp have been decreasing lately and are back on rather normal levels as you can see in the diagram. CTMP inventories, on the contrary, have been increasing the last months and are on a rather high level. In January, NBSK prices was unchanged in Europe at $1,480 per tonne while increasing further in China. And, we have now similar price levels in Europe and China and a bit higher in the US. As earlier announced, SCA has increased the price on NBSK pulp in Europe by $50 per tonne and the new price will be effective from February 1st. And maybe just as a reminder, I can mention that we had increased discount rates from 1st of January. In US, we have seen that the index has went up by $35 per tonne, which also will be used when we invoice our customers in February. And some words about short fiber. Suzano announced $100 per tonne for January. We think that will come through in February and we have also seen another announcement of $60 per tonne in March. So moving over to Containerboard, sales were up 11% in Q4 in comparison with the same period last year. We can note higher prices on the positive side while lower volumes due to planned maintenance stop in Obbola had a negative impact in this comparison. EBITDA was down by 17% due to the maintenance stop. The stop went well but had a negative impact on the result in the quarter of SEK120 million to SEK130 million. The negative effect of the maintenance stop and the negative effect of higher costs related to wood raw material was met by higher prices. We have seen box demand moving sideways compared to Q3 but a solid growth in comparison to last year and, by that, we are now almost back to historical growth trend levels. We can see an improved retail demand supported by increasing consumer confidence, which should support the continued growth in box demand over time. On the other side, we also note the continued negative growth in the European manufacturing industry, which, for the moment, drives the demand in a slightly negative direction. Nevertheless, the European demand of containerboard has improved in Q4 compared to the same period last year and the full year. Demand growth for containerboard will end with the growth above historical trend levels. Moving into 2025, supply and demand balance will be impacted negatively by additional supply coming onstream with the vast majority coming in testliner. Kraftliner inventories have been slightly above average level in Q4 with a seasonal increase in December. The availability of OCC improved in Q4 and consequently, we have seen OCC prices declining and we expect prices in the beginning of '25 to be rather stable. European prices for brown kraftliner have decreased in Q4 by €40 per tonne and white kraftliner has, during the same period, decreased by €20 per tonne. We have seen a continued price pressure in the beginning of this year and prices for brown kraftliner have decreased by another €20 per tonne in January. However, we now feel a more solid underlying demand in combination with strong cost pressure and, due to that, we have, this morning, announced a price increase for both brown and white kraftliner from March with €90 per tonne. So, over to Renewable Energy. In business area Renewable Energy, we had a weaker quarter compared to the same period last year. The market for solid biofuels remained stable. Higher prices for sawdust in our pellets business were met by higher prices. In line with the previous quarters, the green premiums for tall oil and liquid biofuels are substantially lower in comparison with the same period last year. Main reasons are lower blending mandates in Sweden and increased imports from China, creating an imbalance in supply-demand and in the renewable fuels market. Ramping up Gothenburg biorefinery together with St1 in this market environment has put a short-term pressure on the segment during '24. We expect market volatility in renewable fuels to remain relatively high as Europe ramps up the blending [indiscernible] both in HVO and SAF. Long-term, our outlook is positive, but in the short-term, we expect continued low refining margins and bio premiums. However, we have seen some recovery in prices and bio premiums towards end of the quarter. Electricity prices were low during the quarter, which impacted our wind business negatively. SCA continues to grow in leasing out land for wind power and has now reached around 10 terawatt hours of wind power on SCA land by the end of Q4 and that is equal to 20% of installed capacity of the wind power in Sweden. And finally, I can mention that the execution of our windmill project Fasikan is progressing according to plan. And by that, I hand over to you, Andreas.
Andreas Ewertz: Thank you, Ulf and good morning, everybody. I'll start off with the forest valuation and the three-year average price which we use in the forest valuation to get enough transactions decreased by 2% to SEK388 per cubic meter. The market for forest transactions was slow in the beginning of the year but improved during the second half of the year in both volume and price. On the next slide, we have the forest price weight by region and supplier, which you can also find in our report. The standing volume, as you can see, is concentrated in southern part of Norrland. The three-year average price for 2024 is based on approximately 700 to 900 transactions from both Ludvig and Svefa. The valuation of SCA's forest assets totaled SEK107 billion in 2024, which was in line with the previous year. The decrease of the three-year average price in Sweden was offset by continued increase in standing volume to 274 million cubic meters. Biological assets increased by SEK1.8 billion, driven by increase in long-term prices for wood raw materials and net growth in standing volume, while the value of the land decreased. Prices for wood raw materials continued to increase. The slide shows the index price development for sawlogs and pulpwood paid by SCA's industry delivered to site. Prices are at record high level and is continue -- expected to continue to increase in the beginning of 2025. If we move on to the income statement and focus on the full year to the right, net sales increased 12% to SEK20 billion, driven by both higher prices and higher volumes. EBITDA increased 5% to SEK7.1 billion, driven mainly by higher prices, which was partly offset by higher costs for wood raw materials. The EBITDA margin was 35%. EBIT increased to SEK5 billion and financial items totaled minus SEK506 million with an effective tax rate of just below 20%, bringing net profit to SEK3.6 billion or SEK5.18 per share. If we look at the fourth quarter to the left, EBITDA totaled SEK1.6 billion and was affected by planned maintenance stops in both Ostrand and Obbola with SEK338 million. Net profit for the quarter totaled SEK820 million or SEK1.17 per share. Looking at the dividend, we have proposed dividend of SEK3 per share, [SEK0.25] (ph) increase compared to the dividend last year, which is in line with our target to have a long-term stable and increasing dividend over time. On the next slide, we have the financial development by segment for the full year. Starting with the Forest segment to the left, net sales increased to SEK8.8 billion and EBITDA was in line with the previous year at SEK3.5 billion. High prices for pulpwood and sawlogs and increasing harvest from SCA's own forest was offset by lower evaluation of biological assets. In Wood, prices were 10% higher in 2024 compared to 2023. At the same time, prices for sawlogs continued to increase, which was partly offset by higher income from byproducts. Net sales increased to SEK5.5 billion and EBITDA decreased to SEK927 million corresponding to a margin of 17%. In Pulp, net sales increased to just below SEK8.1 billion due to higher prices and higher volumes. EBITDA increased to SEK1.7 billion corresponding to a margin of 21%. In the fourth quarter, we had a planned maintenance stop which impacted the results by SEK215 million. In Containerboard, net sales increased to SEK6.4 billion, driven by higher volumes from Obbola and positive currency effect. EBITDA declined to SEK932 million, driven by higher costs for raw material. The EBITDA margin totaled 15%. In the fourth quarter, we had a planned maintenance stop in Obbola which impacted results by SEK123 million. In Renewable Energy, the cost for sawdust increased, which affected the profitability in solid biofuels negatively but affected our Wood division positively. The market for liquid biofuels and tall oil was weak and in wind, we had lower electricity prices. EBITDA decreased to SEK451 million corresponding to an EBITDA margin of 22%. On the next slide, we have the sales bridge between Q4 last year and Q4 this year. Prices increased 14% with higher prices in pulp, wood and containerboard. Volumes increased 1% and currency had a positive impact of 2%, bringing net sales to SEK5.1 billion. Moving on to the EBITDA bridge and starting to the left, Price/mix had a negative impact of SEK588 million and higher cost from mainly wood raw materials had a negative impact of SEK154 million. Energy had a negative impact of SEK67 million, mainly due to lower energy income and a turbine revision in pulp. We had a positive impact from currency and the quarter was negatively impacted by higher cost for planned maintenance stops and lower revaluation of biological assets. In total, EBITDA was in line with the previous year at SEK1.6 billion, corresponding to a margin of 32%. Looking at the cash flow, we had an operating cash flow of just below SEK3.2 billion for the year and SEK1.3 billion for the quarter. Moving on to the balance sheet, the value of the forest asset totaled SEK107 billion. Working capital increased to SEK4.8 billion and capital employed totaled SEK115 billion. Net debt stood at SEK10.9 billion. Equity totaled SEK104 billion, corresponding to net debt to equity of 11%. Thank you. With that, I'll hand back to you, Ulf.
Ulf Larsson: So thanks, Andreas. And I mean, just to summarize, I think that we have delivered a strong result during last year. We have had rather tough market conditions and despite that, we delivered SEK7.1 billion and a 35% EBITDA margin. We have seen rather strong price increase when it comes to raw materials -- wood raw materials, and that we have, to some extent, mitigated by high volumes -- from record high volumes from our own forest. We can also state that we see, step-by-step, higher production capacity related to strategic investments in containerboard and pulp, which is positive, of course. And we can also see that the market has bottomed out in the -- at the end of last year. And now we see a rather positive development in each area: wood, pulp and also containerboard. So, by that, I think we open up for questions.
Operator: Thank you. [Operator Instructions] Thank you. We will now take our first question from Johannes Grunselius of DNB Market. Your line is open. Please go ahead.
Johannes Grunselius: Yes, hello, everyone, it's Johannes. I have two questions, first on Obbola and the ramp-up. You touched upon it, Ulf, that you talk about step-by-step higher volumes. Will it be possible for you to sort of give us some kind of guidance how much more volumes we can expect '25 versus '24 due to Obbola? And if you can talk a little bit about improved cost position when Obbola is producing more and is presumably more stable? That's my first question.
Ulf Larsson: Yeah, I will not give you a figure but -- but again, if we -- I mean it's fair to believe that we should reach maybe 15%, 20% more output from Obbola this year in comparison with 2025. We are still in the phase where we -- if we need, I mean, we stop and we do what we need in order to long term have a high-quality site. So I mean -- but I mean, it's fair to expect that we will increase by 15%, 20%.
Johannes Grunselius: Yeah. Improved...
Ulf Larsson: About improved cost. Andreas, maybe you should say.
Andreas Ewertz: Yeah. We have the -- we still had some ramp-up cost this quarter, around maybe SEK60 million, SEK70 million, and of course, that will continue to decrease over time. What we guided on that investment was that, when fully ramped up, it should contribute with around SEK800 million to SEK1 billion in total EBITDA assuming current prices.
Johannes Grunselius: Yes. And then my other question is, yeah, on your general comment on the cycle. Ulf, you said you're expecting the cycle to bottom out here at the end of last year, can you elaborate on that? I mean, do you see any risk for any backlashes here? I'm particularly thinking about pulp where you go for price hikes. Any risks at all in the market or it's sort of you're seeing evidence of improving markets now?
Ulf Larsson: It's always a risk to be in the market. I mean, we cannot really forecast what's going to happen in the second half of this year. But we feel -- if we talk about pulp, I mean we feel stable demand now. We have also seen that the stock level has come down and I mean we also -- today, I would say that we have more or less the same net price in China, Europe, a little bit higher in US, but that is a good starting point for further price increases, to be honest. I mean we feel that we have a rather strong pulp market. A little bit earlier than I thought maybe, but still there we are. I mentioned also that we -- and that was a little bit of a surprise, that we will increase prices a little bit in the first quarter and that is mainly for wood -- solid wood products and that is mainly related to higher cost for wood raw materials, of course. And so I mean -- but then I believe, as -- we will have a seasonal effect in the second quarter with another price increase in the second quarter. Maybe not -- I think it would be nothing dramatic, but still, we will have a positive development there. In containerboard, I was maybe a little bit surprised myself. We actually reduced the prices in -- as I said, in January, by €20 per tonne. And all of a sudden, we feel that we have a rather balanced market. We also -- of course, we feel a strong cost pressure in all areas. And we also see that testliner producers, they now go for price increases. And that's the reason also why we -- among others, we have announced a price increase from -- effective from 1st March by €90 per tonne. I mean, in all these three areas, we are fairly positive as it is just now.
Johannes Grunselius: Okay, that's helpful. Thank you.
Operator: Thank you. And we will now take our next question from Ephrem Ravi of Citigroup. Your line is open. Please go ahead.
Ephrem Ravi: Thank you. Just couple of questions. Firstly, on the containerboard -- sorry, specifically kraftliner, price increases that you have announced today of €90, is it more a function of cost-push inflation that you're seeing around the industry with the higher pulp prices and pulpwood prices, or is it more a function of demand because inventories for kraftliner looks a little bit on the higher side and also the shipping rates are pretty much flattish versus the third quarter? So what gives you confidence that these price increases will go through? And secondly, again, on a similar vein on the -- on the wood division, can you give us a sense as to historically what has been the lag between sawlog prices going up and wood prices -- the wood product prices kind of going up? I appreciate kind of demand may be a little bit weak right now, but in your experience, what's the historic kind of pattern or lag been? Thank you.
Ulf Larsson: Thank you. In general, I think it's better to take one question at a time because then I can remember what you asked for. But if we start now with the kraftliner anyway, I mean, no doubt, I mean, we had a stronger consumption in '24 in comparison with '23. So that is one, of course, underlying factor. I said that -- also that in the retail sector, we start to see quite a -- quite good demand for boxes. While we all know that, I mean the manufacturing industry is -- that's not perfect, but we have listened to some reports now from [Volvo] (ph) and other players, and I mean, they also feel that they have an increase in demand in the underlying demand in the market. So let's see where we come. No doubt that, for the moment, it is cost -- it is the cost pressure that really push prices upwards now in -- in both kraftliner and testliner. So I mean that is the main -- that is of course the main reason. In wood, and we were talking about the lagging effect, I would say that I don't know if I can give a general answer to that. Of course, if you have a very high price for wood raw materials, then you need to increase the prices for solid wood products. Otherwise, when you're cash negative, then of course, producers, they start to stop production. That has happened. And I mean even if we did 17% EBITDA margin in the fourth quarter, we can see that many players, they are in red figures for the fourth quarter. So it differs for different reasons, it differs -- the profitability differs between different companies and also different geographical areas. So I don't know if I can say -- give you a general answer on that one. Like to add something, Andreas?
Andreas Ewertz: No, I can just add that, I mean as we mentioned before, that we will see continued increase in both pulpwood and sawlog prices going into Q1.
Ulf Larsson: That will, of course, mitigate the effect of the price increase that we now will perform during the first quarter, for sure.
Ephrem Ravi: Thank you.
Operator: Thank you. And we'll now take our next question from Lars of Stifel. Please go ahead.
Lars Kjellberg: Thank you. Just want to come back a bit to the assets you're ramping up. You mentioned SEK60 million, SEK70 million in the quarter for ramp-up cost in Obbola. Could you share what you've had through the year both at the CTMP mill and Obbola and then how we should think about a gradual reduction as a delta in '25?
Andreas Ewertz: Yeah. If we look at the ramp-up cost for Obbola, I think I guided in Q3 for about SEK45 million, and then in Q1, Q2 I think it was similar level to what we have in Q4, around SEK60 million, SEK70 million. And then, we will see how it develops in the next year. But as Ulf said, ramp-up and then we fix something, then you have to reduce the production and that, of course, increases the amount of chemicals and things you need, that will gradually decrease. But it's hard to say exactly. If we look at CTMP, there, I think the ramp-up costs are less. We're still trimming the mill, but I think we are at a good level there now.
Lars Kjellberg: All right. Questions asked on the harvest levels, you said it's record harvest levels and you have a positive trajectory over time, of course, to increase your harvest. But these sort of levels that we have now, are they compatible and can they continue with the growth you have in the forest?
Ulf Larsson: Yes. So we have -- if you see -- look at our harvesting plan, we have a target to, over the next five, 10 years to go up to 5.4 million cubic meters on average. For the last couple years, we have gradually been increasing to that level. So this year, we had around 5.2 million.
Lars Kjellberg: Very good. Thank you.
Operator: Thank you. We'll now move on to our next question from Patrick Mann of Bank of America. Please go ahead.
Patrick Mann: Thank you. Good morning. There are two big forest packages up for sale at the moment, one in the Baltics and one in Sweden. Are you interested in adding significantly to your forest holdings in the near term, or can you just talk about how you're thinking about that? Thank you.
Ulf Larsson: I mean, in principle, we are interested in buying forest land. That, we have done in the past and we will continue to do so also going forward. Then it's, as always, a question about timing. And I would say the sale that we now see in Sweden, we are not in the process. And you have lots of limitations, I guess, in that process. And, yeah, I don't know if it's open for industrial players, really. We are not involved, we have not been invited. So that's the clear answer on that one. The Baltics is, of course, of some interest, but again, it's a question about the -- it's a question of timing and what you can afford. For the moment being, just now, we are very much focused on our balance sheet and to consolidate and ramping up what we have started in terms of big investments. And so that is mainly our biggest focus for the moment being.
Patrick Mann: Thank you. And then could I -- if I could have another one, just -- I mean, wood prices, the raw material costs, I mean, you've flagged a couple of times, record highs. You continue to expect that to increase into the first quarter. I mean, what's the longer-term outlook here? How high can they go? What factors could we watch as sort of leading indicators that potentially it could come down or consolidate? Thank you.
Ulf Larsson: Yeah, I mean, just now, we see that it is easier to get access to pulpwood in the -- in -- yeah, at the end of last year, but also in the beginning of this year, while I think in some areas at least, you still have a lack of sawlogs. And I mean, if you have a lack of sawlogs, that will push prices up to the level where producers start to lose money, of course. How long will it last? In general, I would say that we will have a slightly tough balance when it comes to supply and demand in different parts of the world. Canada, Central Europe, and so on. And that's the reason why I think that SCA is very well-positioned as we can take around 50% of what we need from our own forest. As we've also discussed before, I mean, we are -- we are still impacted by the Russian invasion of Ukraine. And you know that we have lost into the European system about 10 million cubic meter per year. And at the same time, Sveaskog, they have announced that they will or they have reduced the harvesting level on their own Forest by 1 million cubic meter. And as I guess -- I guess that's mainly in the very northern part of Sweden. So I mean, I guess that it will be a tough balance also going forward. And by that, we will have rather high prices for wood raw materials.
Patrick Mann: Thank you.
Operator: Thank you. And we'll now take our next question from Robin Santavirta of Carnegie. Your line is open. Please go ahead.
Robin Santavirta: Thank you very much. The first question I have is regarding the Containerboard segment. Andreas, did you comment on the expected ramp-up cost in 2025 versus '24? I guess you spoke about '24, but what about the outlook for 2025?
Andreas Ewertz: We expect to continue to have some ramp-up costs in 2025, but the exact numbers is hard to say. We have to wait and see. But we expect them to gradually decrease as we ramp up production.
Robin Santavirta: All right, thanks. In terms of the pulpwood market, now you call an increase in Q1 versus Q4 as a P&L impact, if I understand correctly. Is that the lag impact of prices going up throughout the end of last year, or are these sort of, in a way, spot prices that you buy now, are they still increases -- increasing versus the end of last year?
Ulf Larsson: I would say it's a lagging effect. For pulpwood...
Robin Santavirta: Yeah, yeah.
Ulf Larsson: It's a lagging effect and in some areas, I also guess that we have a rather big portion of lagging effect in -- when it comes to sawlog prices. But in some areas, the competition to get sawlogs is quite tough. In some areas, I guess that we can also see somewhat higher prices for sawlogs. But again, when you look at the result for many players, just now they are on negative or red figures and that cannot really continue because then production, of course, will decrease. So [indiscernible] just now, we feel a little bit of a surplus of pulpwood, I would say, in the market. Andreas?
Robin Santavirta: All right, thanks.
Andreas Ewertz: Yeah, just to add on, we saw in sawlog that some players recently added price with around SEK100 per cubic meter. So I think it's -- on sawlog, it's both underlying prices increasing but a lag effect on pulpwood is more of a lag effect.
Ulf Larsson: But also just to clarify, we have a two-price system, so what you see in the price list is not always what you pay in the market, of course.
Andreas Ewertz: Yeah.
Robin Santavirta: No, for sure. Regarding the pulpwood surplus you're seeing, in Finland there's a lot of talk about what the energy wood market, that it has collapsed because of the very mild winter. Is this something that plays in or is it just pulpwood sort of balance becoming better because of the tough market environment and weaker demand?
Ulf Larsson: I guess that the mild winter definitely is playing in and I mean as I described, we don't see a tougher end market this year in comparison with last year. I mean we see coming price increases. I mean, we will not maybe have an effect the first quarter but definitely the second quarter in all areas both in pulp and also in containerboard. So I mean, the demand will be I think good but availability of pulpwood is higher as it is just now in comparison with the past. Might be connected related to the energy market.
Robin Santavirta: Yeah, yeah. Final question I have is related to the Wood segment. How do you see the impact of potential tariffs into the U.S. from Canada? What would the impact be on the market and any impact on you directly?
Ulf Larsson: I mean, I think it would be a mess if we have these tariffs. We -- I mean, we haven't seen them, we don't know kind of -- in what shape we will have them but -- and I don't think it's so easy to foresee what's going to happen because the pattern will, of course, change. If you have tariffs between Canada and US, that will -- short term, it will -- maybe it might be good for our products. Long-term, of course, these products must find another place. It will have no impact on the consumption. So I mean, for us, I think for Sweden as a country and for us as a very dependent on export, I think we like to have a free trade and a level playing field. And so we don't like tariffs. We can gain in some area and we can lose in some area. But long-term, I think it's so important that we can have a free trade.
Robin Santavirta: I understand. Thank you very much.
Operator: Thank you. And we will now take our next question from Gaurav Jain of Barclays. Your line is open. Please go ahead.
Gaurav Jain: Hi. Thank you so much. I have three questions. One is your comments on pulp prices. Can you just please repeat them because I think there were a few moving part? So what I got is that Suzano has increased prices by a $100 in Feb and another $60 in March. And you have also announced the price increase now and you will look at another price increase in Q2. Did I get that correct?
Ulf Larsson: Yeah. Yeah, I mean, first, if we take short fiber first, I mean, and then what Suzano has announced is $100 per tonne up from January. We believe that, that will come through in February maybe, but that's not up to us to say. And then they have announced another price increase from 1st of March by another $60 per tonne. So all in all, $100 plus $60, $160 per tonne. On NBSK, we have -- I would say that we have increased prices now from -- effective from 1st of February by $50 per tonne. And I mean, it's still to be seen what's going to happen in coming months. But we believe that the price will continue to move upwards. But again, you have to take into consideration when you do your calculation that we had an increased discount rate from 1st of January in Europe and that one was a little bit higher in comparison to the discount rate that we increased in US. So I mean, that must be taken into consideration when you calculate on the net effect. And as always, we have a lag effect before we can see it in the P&L.
Gaurav Jain: Sure. Thank you so much. Now my second question is on, what should we expect in terms of biological gain to be put in P&L for next year? And if I look at that forest valuation graph, then clearly, over the last two year, prices are down. So that average of three years line should be flattening out, which it has. So does it mean that you will start taking lower biological gain in your P&L?
Andreas Ewertz: The biological gains is mostly driven by the net growth and the increase in the price for wood raw material. And we have, in our model, several year average price for raw material and then that is expected to continue to increase as we move that forward. But currently, we expect something around SEK1.8 billion for biological assets. But it depends of how things will develop during the next year.
Gaurav Jain: Okay, thank you so much. And my last question is on CapEx plans for FY '25 and beyond. So could you just reiterate them, what should we put in the model?
Andreas Ewertz: Yeah. So CapEx, if we start with current CapEx, we came in a bit lower this year, but we have some spillover effect to 2025. So we expect maybe up to SEK1.7 billion in current CapEx. And on strategic CapEx, just below SEK1.5 billion. But also depends on the payment -- timing of some payments, but as a round figure.
Gaurav Jain: Sure. And where should it step down after FY '25? If you could comment on that?
Andreas Ewertz: On -- after '25, the strategy CapEx will decrease as the largest payment we have now for strategy CapEx next year is our windmill Fasikan and that is around SEK1 billion, SEK1.1 billion for the next year. We also have some payments left in Pulp and our Containerboard division. But in 2026, the strategic CapEx will go down a lot if we don't do any new big investments.
Gaurav Jain: Thank you so much.
Operator: Thank you. And we'll now take our next question from Oskar Lindström of Danske Bank. Please go ahead.
Oskar Lindström: Thank you, operator. A couple of questions from me and maybe I'll start with the first one then talking about net debt, which is now just under SEK11 billion, about 1.5 times EBITDA. And you say, presently you're focused on strengthening your balance sheet. What level of net debt are you aiming for and do you believe there's sort of appropriate for you, medium to long-term, say? And sort of an additional question on this, would you be willing to significantly increase your net debt short-term and, if so, what would be the sort of upper limit that you would be willing or able to go to, you believe?
Andreas Ewertz: Firstly, I mean we want to keep an investment-grade credit rating. That's our target. And as Ulf said, our focus now is to ramping up our investments and that will, of course, increase EBITDA and decrease the leverage. So that's our current focus. We don't want short-term to increase our net debt any significantly. We are committed to staying at investment-grade.
Oskar Lindström: And to stay at investment-grade, you believe you need to be at roughly where you are now, sort of 1.5 times EBITDA. Is that how I should interpret your reply?
Andreas Ewertz: No, we have -- I mean for us, I think FFO to the debt is the -- is what limits us. And to be investment-grade, we need the FFO to the debt over 20%. Currently, we are at around 32%, something like that. But to keep our current rating, we need FFO to the debt around 30%. But to keep investment-grade, it has to be above 20%. So we still have some headroom. But we -- our aim is to be around at -- around 30% FFO to debt.
Oskar Lindström: Right. Thank you. And so surely there's no sort of leeway for you to, short-term, significantly -- to go below 20%?
Andreas Ewertz: No. No, we don't want to go below 20%, no.
Oskar Lindström: And then on the forest land, I mean, you stated now earlier in the call that you are interested in buying more forest land, including in the Baltics. And I believe you have a target in your strategy to increase your Baltic forest land holdings to about 100,000 hectares. And if I look at your webpage, you say -- I think you have now about 70,000 hectares of land, of which, I believe, about 50,000 is forest lands in the Baltics. How hard is that target? I mean, is it an absolute ceiling? Would you be willing to sort of go significantly above this? Or what's your thinking here about owning forest land in the Baltics and how much do you need or would you like to have?
Ulf Larsson: As you know, we have -- SCA is a forest company with industry and step-by-step, we have increased the area of forest land within SCA. And that we will continue to do. And preferably, we will buy in Sweden. But the problem is to get access to legal entities, which we need to do -- yeah, you know the legislation. And the reason then for us going to the Baltics is that we can continue to increase the forest, the land. And that we will do when we have the money. I mean, that's not -- no emergency. I mean, the plan and we did announce something just in order to give a figure and we said that we should reach 100,000 hectares in five years. I mean, if we -- if it takes seven years, it doesn't really matter. It's also a question about timing and what kind of price level you have in these different regions and I mean, when you get the opportunity. So I mean -- so that's our view. We will continue to buy forest land when we can. If we can, we will -- preferably, we will buy in Sweden. If we can't do that, then we think that the Baltics is a good opportunity and a good option. If we take care of the forest land in the Baltics in the same way as we do in Sweden, then we think it's a great potential to have land there.
Oskar Lindström: Great, thank you. Just a final question, a quicker one. On pulp, you mentioned that the discount rate had increased in January. How much, roughly?
Andreas Ewertz: Sorry...
Oskar Lindström: Because your $50 -- yeah, the discount rate. I'm just trying to figure out, if the discount has increased by roughly $50 per tonne. And then now you're announced a $50 per tonne increase.
Ulf Larsson: I can say that the price increase has not fully compensated for the increased discount in January. It will do when we have done another $50 per tonne. Then we have a little bit more than compensated. So then you have the range.
Oskar Lindström: Wonderful. Thank you. Those were my questions.
Operator: Thank you. And we'll now take our next question from Charlie Muir-Sands of BNP Paribas Exane. Please go ahead.
Charlie Muir-Sands: Thank you very much. Most of my questions have been answered, but just one more on pulp. The revenue per tonne drop was a bit sharper than at least I'd anticipated in Q4. I just wondered whether there was any mix effects, whether it was particularly a mix of more CTMP as you took maintenance downtime in the main mill, or whether it was a mix between contract and spot, which was adverse in the quarter compared with Q3. Thank you.
Andreas Ewertz: Yeah. I think that's the -- I think the largest effect. Of course, we have a larger portion of CTMP now as we're ramping up our new CTMP mill, but also had the maintenance stop in Ostrand.
Charlie Muir-Sands: Thank you.
Operator: And we'll now take our next question from Ioannis Masvoulas of Morgan Stanley. Please go ahead.
Ioannis Masvoulas: Thanks very much for the presentation. Most of my questions have been answered, but I had one on containerboard and regarding again the price hike of €90 you've announced. Could you perhaps clarify where that gets your brown and the white kraftliner price levels? And if we were then to look at your Q4 profitability per tonne, if we get a full €90 to come through your P&L for that division going forward, feels like profitability would move towards historical average levels. Is that the right way to think about it? And is that realistic, given where inventory levels are and where utilization rates are across the industry? Thank you.
Andreas Ewertz: Just to start, if -- our price level, we don't comment on the exact price level, but what you can do is if you look at the sales and divide that by our delivery volumes, then you'll get a very good estimate of where our current price level is on containerboard. And I think, in pulp, when you have price increases, then you have to -- that's gross. So then you have to remove the rebate. In kraftliner, the discounts are very, very low. So if prices, for example, go up X euro per tonne, that's also roughly what the prices increases on. So that's a bit different dynamics between pulp and containerboard.
Ioannis Masvoulas: Okay, thank you. And so just the second part of the question around where that gets your profitability per tonne, feels like it does improve profitability quite significantly from current levels. Do you think there is enough impetus today, given utilization levels, given inventory levels that you show in your slide deck or for the full €90 to stick, you need demand to continue improving?
Ulf Larsson: Yeah, I mean, it's hard to say really, but again, I mean the reason for this price increase is, of course, mainly related to the cost pressure, and -- but we also -- underlying, we see an increased demand during '24 in comparison with '23 and I think -- personally I think we will see a continued recovery in the economy during '25 and not the least, 2026 if nothing very unexpected will happen in coming years. I think we will -- step-by-step, we will see the recovery. And again, when we -- as one indicator, when we look at the box demand, you can see that we are now back on trend levels and I guess that will continue. So I don't know if you'd like to add something or no?
Ioannis Masvoulas: Thanks very much.
Operator: Thank you. [Operator Instructions] Thank you. We will now move on to our next question from Andrew Jones of UBS. Your line is open. Please go ahead.
Andrew Jones: Hi, gents. Just on the €90 kraftliner price hike, I'm curious to what extent potential supply disruption from Finland is filtering into your thinking around that. Obviously, last year, you benefited from a lot of the kraftliner capacity being shut-in due to the port strikes. Is that something that's part of your thinking there? And also just a broader question. For this year, there's obviously loads of new testliner capacity coming into the market. Usually, testliner and kraftliner move together. Given the vast difference in where the supply additions are coming from, do you think there is potential for that spread to significantly widen this year as that capacity hits? Thank you.
Ulf Larsson: Yeah, I think if we start with the second one, which I remember, I mean the spread has, step-by-step, increased and I think in -- I mean, to some extent, you have a connection between kraftliner and testliner, but it is, of course, also a question about function. And what we see now in the market is that the capacity of testliner is, step-by-step, increasing while kraftliner capacity is -- I mean, it's rather stable. It is more or less our own expansion in Obbola that have an impact. So I guess that you will see. And yeah, we have seen an increasing spread between kraftliner and testliner. I guess that will remain for a while. It might be also bigger because again, it's a question about supply and demand. The first question, Andreas, I don't remember, so maybe you can take it.
Andreas Ewertz: Can we take that question again?
Andrew Jones: Yeah, I was just asking about, you obviously have potential for supply disruption again in Finland. Is there a -- is that filtering into the way you're thinking about the price hikes? I mean, is this opportunistic, given there may be some disruption over in Finland and you could benefit from that?
Ulf Larsson: Maybe I didn't get it right, but was it if we have any relation with this -- with the potential strike in Finland? Is that -- was that the question?
Andrew Jones: Yeah.
Ulf Larsson: Yeah, I mean what we have seen in the -- I mean we have seen a lot of strikes in Finland for some reason and I mean if we have a strike in Finland, that will, of course, have an impact depending on how long will it be and I mean, how many will be impacted by the strike. But that we have definitely seen in the past. We don't speculate in the Finnish strike and definitely not now when we're talking of price increases from 1st of March. I mean, that has no connection at all with the Finnish situation.
Andrew Jones: Okay, thank you. That's clear.
Operator: Thank you. And we'll now take our next question from Linus Larsson of SEB. Your line is open. Please go ahead.
Linus Larsson: Thanks a lot for squeezing in one or two follow-up questions towards the end of the call. You talk about rising wood costs in your P&L Q1 compared to Q4. Just curious whether you could quantify that either on a per cubic meter basis or even better on an absolute level, please?
Andreas Ewertz: Yeah, we're talking about 6%, 7%. Yeah, 6%, 7% increase on both pulpwood and sawlog, around that.
Linus Larsson: Sorry?
Andreas Ewertz: 6% to 7%.
Linus Larsson: On a sequential basis in the first compared to the fourth quarter.
Andreas Ewertz: Yes.
Linus Larsson: Okay. And that was on the pulpwood side?
Andreas Ewertz: On both. On both.
Linus Larsson: On both. Okay, great. Thank you. And then also you touched upon it, but maybe just on the wood product side, your market outlook, any green shoots, any early cyclical signals that you're picking up in any geographies, if you could comment on that, please?
Ulf Larsson: I think it's a fairly stable demand all over the area just now. So I mean, as I said, typically we don't -- it's hard to manage to increase prices in the first quarter, typically, but that we will do now. It's not much. It's low single digits, but anyway. And then of course, I believe that we will have a seasonal effect also in the second quarter. And, by that, we can continue to increase prices for solid wood products. Then on the other hand, and as Andreas just mentioned, I mean, we will see increasing log prices in the first quarter. So by that, the margin for the solid wood business will -- whether they will remain stable or not, it remains to see. But we feel -- I mean, if you also look at the inventory level, it's on a rather normal level. I guess we have a normal level by producers, but I guess that among customers, it's on the low side. That, we don't know but I guess so, we feel that, when you -- when we talk to customers and when you try to find out what kind of demand you have out there.
Linus Larsson: Right. Great. That's helpful. Thank you. Thanks.
Anders Edholm: And that, ladies and gentlemen, concludes our full year report presentation. We'll come back in April for our first quarter report. Thank you for listening and asking questions.
Operator: Ladies and gentlemen, this concludes today's call. Thank you for your participation. You may now disconnect.